Operator: Good morning everyone, and welcome to the MYR Group Fourth Quarter 2015 Earnings Results Conference Call. Today’s conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Philip Kranz of Dresner. Please go ahead, sir.
Philip Kranz: Thank you and good morning everyone. I’d like to welcome you to the MYR Group conference call to discuss the Company’s fourth quarter results for 2015. Joining us on today’s call are Bill Koertner, Chairman, President and Chief Executive Officer; Betty Johnson, Senior Vice President, Chief Financial Officer and Treasurer; and Rick Swartz, Senior Vice President and Chief Operating Officer. If you did not receive this morning’s press release, please contact Dresner Corporate Services at 312-726-3600, and we will send you a copy or you can go to www.myrgroup.com, where a copy is available under the Investor Relations tab. Also, a replay of today’s call will be available until Thursday, March 10, 2016 at 11:59 P.M. Eastern Time by dialing 855-859-2056 or 404-537-3406 and entering conference ID 29114629. Before we begin, I want to remind you this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company’s Annual Report on Form 10-K for the year ended December 31, 2015, and in this morning’s press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in this morning’s press release. With that said, let me turn the call over to Bill Koertner.
Bill Koertner: Thanks, Phil. Good morning everyone. Welcome to our fourth quarter and full-year 2015 conference call to discuss financial and operational results. I’ll start by providing a brief summary of the fourth quarter and full-year results and then turn the call over to Betty Johnson, our Chief Financial Officer for a more detailed financial review. Following Betty’s discussion, Rick Swartz, our Chief Operating Officer will provide an overall industry outlook and discuss some of MYR’s opportunities going forward. I will then conclude with some closing remarks and open the call up for your comments and questions. I'm pleased to report the 2015 marked the first time in MYR Group’s history that annual revenues exceeded $1 billion a 12.5% increase. Also of note, our year-end 2015 backlog increased 4% compared to the prior year which is the direct result of our efforts to expand our business both organically and through acquisitions. This also represents an increase in backlog for seven of the last eight quarters. Throughout 2015, we supported customers in our existing markets and focused on executing our three-prong strategy for capital allocation, for organic growth, acquisitions, and capital returns. These initiatives which have expanded our business throughout North America further solidified our position as a top industry performer and contributed towards adding shareholder value. First we grew organically by establishing six additional offices in promising new U.S. markets including California, Kansas, Colorado, Nevada, Texas and Washington State. We also opened two Canadian offices and received our first major project award in Manitoba. All of these offices are staffed with local management talent who have established customer relationships, as well as firsthand knowledge of local labor and market conditions. We will continue to explore opportunities for organic growth in markets that align with our core capabilities and that are viable long-term investments. Second, we acquired two companies in 2015, E.S. Boulos, which we acquired in April has a long history of performing quality work safely and in a cost effective manner throughout the region it serves and has expanded both our T&D and C&I capabilities throughout the Northeast. High Country Line Construction, which we acquired in November, strengthened our position to capture new T&D projects throughout the West and Midwest. Importantly, both of these acquisitions met out long term investment return thresholds and have management teams and businesses that are compatible with MYR’s values and culture. Looking forward we will pursue additional acquisitions that meet our criteria as we position MYR Group for future growth. In addition to pursuing organic growth and acquisitions, our Board considers capital returns as an important value driver for shareholders. I’m pleased to report that in 2015 we returned $27 million of capital to shareholders through our share repurchase program. Additionally, in February, our Board again increased the share repurchase program to $142.5 million, extended it through April 2017 and improved certain provisions to potentially accelerate the pace of share repurchases. These moves reflect the Board’s confidence in the company’s long-term strategy and it’s believed that at current levels, our stock represents an attractive investment opportunity. We intend to remain disciplined in our approach towards allocating capital. MYR has operated as a public company for eight years. During that eight-year period from 2008 through 2015, we have a strong record of operational excellence and have delivered consistent returns to our shareholders with positive earnings and book value growth in each and every year through and good and bad markets. Further, MYR has not experienced a financial statement – restatement nor have we had any impairment charges, discontinued operation charges, or extraordinary losses to report during this period. We believe that our track record is strong evidence of our disciplined approach to managing shareholder capital wisely. Our board and management team regularly review the Company’s business and capital allocation to ensure MYR Group is best positioned for growth and value creation. The decision to increase the size and pace of the share repurchase authorization and implement new financing strategies followed such a review. The board worked with outside advisors and also considered the – feedback we have received from a number of our shareholders. We have spoken with numerous shareholders about the Company's strategies. These have been productive conversations during most of these discussions shareholders emphasized long-term value creation and indicated support for the actions we are taking to contribute towards that objective. We believe our shareholders recognize that we have a strong record of directing capital to investments that generate the greatest returns. This is evidenced by MYR Group’s outstanding performance, as compared to many of its peers on fundamental financial metrics such as return on assets, return on invested capital and return on equity, as well as pretax income and revenue growth. This performance demonstrates our focus on strategic execution and long-term value creation. It also reinforces our belief in the Company's strategic plan. We strengthened our executive leadership team and Board of Directors this year through the appointment of Ken Hartwick and Don Lucky as new independent directors, both of whom have extensive industry experience, as well as considerable international experience. In addition, Betty Johnson transitioned from her role as an MYR Group board member to become our Chief Financial Officer. She brings broad industry insight, knowledge and a hands-on approach to further enhance our growth strategy. As most of you know the company received a letter in December from Engine Capital recommending our board undertake an evaluation of the sale of the company or a levered recapitalization. Since that time, we have received other e-mails and letters from the Engine Capital advocating for its proposed changes, including a letter on January 6, notifying the company of Engine Capital’s intentions to nominate three individuals to stand for election to our Board of Directors at our next Annual Shareholder’s Meeting. In mid-January, Ken Hartwick, one of our independent directors and I, met with the principal of Engine Capital in New York to gain a better understanding of its position. A few weeks later our attorney contacted Engine Capital’s attorney offering to enter into a settlement agreement that would include the addition of one of Engine Capital’s nominees or a mutually agreed upon independent nominee to our Board. Engine Capital rejected this offer. We are disappointed that Engine Capital rejected our Board’s offer. Our Board remains open to reaching an agreement that serves the best interests of the company and all of the company’s shareholders. We remain open-minded about the options available to deliver on our value creation objectives. However, we do not believe that a sales process at this time is in the best interest of MYR Group shareholders. While a sale might provide an immediate return, we do not believe it will maximize our shareholders long-term return in the current environment. We believe there are multiple factors that could limit the effectiveness of a sales process at this time. These factors include the current volatility in equity markets which is cloudy in market values, stress in the credit markets which can impact the availability and cost of debt financing and in a depressed market, as well as headwinds across the Transmission market as a whole. Selling with lots of underlined uncertainty [ph], rarely delivers full value to anyone but the buyer in such markets. We are well-positioned fundamentally to successfully manage and grow through the current cycle and do not need to rely on a forced sales process to preserve and maximize shareholder value. Given all of these considerations we believe a sale at this time is not in the best interest of MYR Group’s shareholders. We want everyone on this call to know that we value input for all stockholders including Engine Capital. You can also be assured that all such input is shared with our Board of Directors. Our Board is committed to maximizing long-term shareholder value. There have been many rumors circulating about MYR over the last couple of months. We will not be commenting on these rumors on this call. The focus of this call is to explain our financial results and to discuss the outlook for MYR in the industry. Now Betty will provide details on fourth quarter and full-year 2015 financial results.
Betty Johnson: Thank you, Bill and good morning everyone. Our fourth quarter 2015 revenues were $271.2 million which represented a $20.2 million or 8.1% increase, compared to the same period of 2014. The increase was primarily due to geographic expansion and acquisitions, which contributed to both the T&D and C&I segments. This growth was partially offset by a decline in revenue from large multi-year projects. Our last three quarters were the highest three revenue quarters in the history of MYR. Compared to the 2014 fourth quarter, T&D revenues increased $10 million or 5.2% to $201.2 million. C&I revenues increased $10.2 million or 17% to $70 million. Breakdown of T&D for the fourth quarter of 2015 is $144.1 million for transmission and $57.1 million for distribution. Our overall gross profit in the fourth quarter of 2015 was $32.6 million, compared to $42.1 million in the fourth quarter of 2014. The decrease in gross profit was primarily due to the lower gross margins offset by higher revenues. Our gross margin was 12% in the fourth quarter of 2015, compared to 16.8% in the same quarter of 2014. Although an improvement over the last two quarters, margins were negatively impacted by underperforming jobs due to labor productivity below previous estimates primarily due to weather and project constraints. These margin impacts had a 0.9% negative impact on the fourth quarter of 2015 gross margins. The impact of those underperforming jobs was partially offset by improved fleet utilization. The unusually high margin of 16.8% in the fourth quarter of 2014, presented a very tough comparison for the current quarter. As we’ve previously reported the fourth quarter of 2014, benefited from the successful execution and closeout of several large multi-year transmission projects and included the resolution of significant change orders and claims, which had a 3.5% positive impact on the fourth quarter of 2014 gross margins. Fourth quarter 2015 SG&A expense was $22.7 million, compared to $19.6 million in the fourth quarter of 2014. The $3.1 million increase was due to the reversal of a $2.3 million legal reserve in the fourth quarter of 2014, $1.4 million associated with an executive transition and higher personnel and overhead cost to support our organic and acquisition geographic market expansion, partially offset by lower bonuses and profit sharing costs. SG&A as a percentage of revenue was 8.4% for the fourth quarter of 2015 up from 7.8% for the fourth quarter of 2014. Fourth quarter 2015 EBITDA was $20.1 million, compared to $31.1 million for the fourth quarter of 2014. Our provision for income taxes decreased to $4.1 million for the fourth quarter of 2015, compared to $8.2 million in the same quarter of 2014. Our effective tax rate for the fourth quarter of 2015 was 40.8% compared to 36.6% in the fourth quarter of 2014. The increase in effective tax rate was primarily caused by the year-to-date changes and the mix of business between states and the impact of the foreign rate differential. Fourth quarter 2015 net income was $5.9 million or $0.29 per diluted share, compared to $14.1 million or $0.66 per diluted share in the fourth quarter of 2014. Shifting now to our full-year 2015 results, revenue increased $117.7 million or 12.5% to $1.062 billion, compared to $944.0 million for the full-year of 2014. The increase was primarily the result of an increase in the number of jobs of all sizes, organic growth into new geographic markets and from the acquisition of E.S. Boulos. The increase was partially offset by a decline in large multi-year transmission projects. As Bill noted earlier, 2015 was a record for us and the first time we tapped $1 billion. Our overall gross profit in the full-year of 2015 was $122.3 million compared to $132.4 million in the full-year of 2014 due to lower gross margin partially offset by our higher revenue volume. Gross margin decreased to 11.5% versus 14% in the full-year of 2014. The decline in our gross margin in the full-year of 2015 was partially – was primarily due to favorable closeouts on several large multi-year transmission projects in the full-year of 2014. In the full-year of 2015, bid margins were lower due to increased competition in many of our markets and an increase in the number of shorter duration projects. Additionally, certain jobs underperformed in the full-year of 2015 due to labor productivity below previous estimates as a result of excessive labor turnover, rework on certain jobs, and severe weather conditions in the some of our markets. Changes in estimates of gross profits on certain jobs resulted in a 0.5% increase in gross margins in the full-year of 2015, compared to 1.9% increase in the full-year of 2014. SG&A expenses for the full-year of 2015 were $79.2 million, compared to $73.8 million in 2014. The $5.4 million increase was primarily due to higher personnel and overhead cost to support our organic and acquisitive geographic market expansion, the reversal of a $2.3 million legal reserve in the fourth quarter of 2014, $1.4 million associated with an executive transition and cost associated with the E.S. Boulos and high country line acquisitions partially offset by lower bonuses and profit sharing cost. Acquisition cost and startup costs for organic, geographic growth were in the $3 million to $4 million range in 2015. SG&A as a percentage of revenue was 7.5% for 2015, down from 7.8% in 2014. EBITDA declined to $83 million or $3.95 per diluted share for the full-year of 2015, compared to $92 million or $4.29 per diluted share for the full-year of 2014. Net income for the full-year of 2015 was $27.3 million, compared to net income of $36.5 million in the full-year of 2014. Diluted earnings per share were $1.30, for the full-year of 2015, compared to $1.69 for the full-year of 2014. In the full-year of 2015, we invested $46.6 million in property, plant and equipment, $4.6 million of which was to purchase real estate, while the remaining was mainly to acquire fleet assets. We expect our total 2016 capital expenditures will be lower than the last few years, as we look to expand our fleet through an increased use of alternative financing approaches, such as leasing. Total backlog at December 31, 2015 was $450.9 million, consisting of $323.6 million in the T&D segment, and $127.3 million in the C&I segment. Total backlog as of 12/31/2015 increased by $25.8 million from the $425.1 million reported at September 30, 2015, an increase of 6.1%. This quarter represents the seventh quarter increased in the last eight quarters in our backlog. T&D backlog at December 31, 2015 increased $27.9 million, or 9.5%, while C&I backlog decreased $2.1 million, or 1.7% from September 30, 2015. Moving to the balance sheet, stockholders' equity increased $7.3 million to $329.9 at December 31, 2015, in spite of significant share repurchases. At December 31, 2015 we had approximately $39.8 million in cash and cash equivalents, no outstanding funded debt, and a $155.7 million in availability under our credit facility. For the twelve months ended December 31, 2015 our return on equity was 8.5% and our return on invested capital or ROIC was 11.3%. You should note that we modified the numerator in our calculation of our ROIC to reflect EBIT, net of taxes instead of net income. The impact was just 20 basis points. We feel this is a better measure of our results by excluding the impact of financing cost. The details of that calculation can be found in today’s earnings release. As it relates to our share repurchase program, in the full-year of 2015, we purchased approximately 1.2 million shares of our common stock. On December 10, 2015 we increased the capacity of the program by $25 million. We further amended the program on February 10, 2016, increasing the capacity by $75 million to $142.5 million. Updating its provisions to accelerate the pace of repurchases and extending the program through April 30, 2017. Through March 1, 2016, we had purchased – we have purchases of 582,000 shares in 2016 for $11.5 million, leaving $88.3 million of availability under the program. I’ll now turn the call over to Rick who will provide an overall industry outlook and our view of MYR Group opportunity.
Rick Swartz: Thanks, Betty and good morning everyone. Throughout the fourth quarter bidding activity was strong in both our T&D and C&I segments, as we pursued opportunities in our existing and newly established markets. We executed a variety of projects and further refined our skills and processes related to successful project delivery, safe work performance and client satisfaction. Operationally, our T&D and C&I segments successfully completed and executed a number of high-profile projects throughout the U.S. in 2105, including the northern loop of the Maine Power Reliability Program and the southern – and the South Terminal Redevelopment Project for Denver International Airport. While our 2015 year-end backlog increased nearly 4% over 2014, it does not include two significant projects that were awarded early in 2106. Our T&D division won the MVP 16 project for MidAmerican, which is an engineer, procure and construct project or EPC project, that consists of an approximately 32 miles of double circuit, 345 transmission line from Oak Grove to Galesburg, Illinois. This project is scheduled to complete in late 2016. In Denver, our C&I group was awarded a major contract to bring the new million square foot Denver Veterans Medical Center to completion, which is anticipated to complete in January of 2018. This project award demonstrates the confidence we have earned in the industry for successfully completing large, complex projects. Looking ahead, we remained optimistic about future growth prospects for both our T&D and C&I segments. We are encouraged by a number of recent industry events related to favorable regulatory developments, forward progress on planned major projects, and new capital spending numbers by utilities. Competitive transmission solicitations heard by the FERC 1000 ruling continue to come to market and MYR Group has been and will continue to actively pursue these opportunities. In January of this year, the California Independent System Operator announced that DesertLink LLC, a subsidiary of LS Power was selected as the approved project sponsor to develop, construct, own and operate a 500kV electric transmission project. The economically driven Harry Allen to El Dorado project includes approximately 60 miles of transmission lines connecting these substations operated by NV Energy and Southern California Edison. And the in-service date is targeted for2020. MYR Group, teamed with LS Power as the project constructor for the proposal to [indiscernible] and we anticipate DesertLink will seek final contracts to be placed during 2016 or 2017. Also on the regulatory front, where the clean power plant or CPP was recently issued a stay by the U.S. Supreme Court. We believe the implementation of state level mandates will continue to drive the need for additional transmission to deliver a new generation of natural gas and renewable energy resources to load centers. States such as California are aggressively moving towards an increase in renewable energy production. As evidenced by Governor Jerry Brown signing of some of Senate Bill 350, which were part [ph] of the state to generate 50% of its electricity from renewable resources by 2030. MYR Group has a strong operational presence throughout the West and we anticipate several new opportunities for construction projects as Western states aim to increase their renewable generation resources. Another positive development is a recent congressional approval of the five-year production tax credit and investment tax credit to help stimulate investment in wind and solar generation. As a result, we believe MYR Group stands to benefit from an increase in these projects, as wind and solar resources are generally located in remote areas and require additional transmission to help deliver these resources to market. From a major project planning standpoint, announcements in the fourth quarter regarding several large transmission projects throughout the Midwest, Northeast and Texas, indicate progress in the planning and permitting stages, which is a positive sign they maybe moving one step closer to construction in coming years. In the Midwest, Minnesota Power recently announced they have been given their final environmental impact report for their Great Northern Transmission Line, which will consist of 220 miles of 500kV transmission and is valued between $558 million and $710 million. The ruling paves the way for the Minnesota PUC to issue a route permit on the project. We have a long and established presence working in this region and have completed a number of major transmission projects throughout this area, ranging from the CapEx 2020 in Minnesota, North Dakota, South Dakota and Wisconsin to the recently completed Antelope Valley Station to Judson 345kV transmission line in North Dakota for Basin Electric Cooperative. The depth of experience positions us well for future opportunities due to our familiarity with a wide variety of project considerations unique to this region. In late 2015, the New York Public Service Commission announced a public policy need to build new 345kV transmission facilities to cross central, east, and upstate New York to allow for more transmission capacity, to move power from upstate to downstate regions. New York regulators believe this approval is an important first step in addressing aging infrastructure and strengthening the reliability of the electric grid in upstate New York. As a result MYR Group stands to benefit due to our experience on projects for a variety of utility clients in this region, as well as through our recent acquisition of E.S. Boulos, which has bolstered our capabilities in the northeast. In the fourth quarter, several utilities and transmission operators announced an increase in investment plans to build additional transmission and distribution which also indicates that overall T&D market is poised to remain strong over the next several years. One of our largest clients, American Electric Power, announced they will be increasing their planned capital expenditures by $1 billion per year in 2017 and 2018 to $5 billion annually in those years, citing that the increased investments will enable the company to put money to work on behalf of customers for needed infrastructure, including transmission. PJM, the transmission operator in the northeast and mid-Atlantic announced their board has approved $490 million in regional transmission project aimed at resolving reliability violations and boosting market efficiency. In 2015, we experienced steady, broad-based growth in our distribution business, primarily due to increased utility spending and improved market share. We continue to perform large portions of work through a number of long-term alliance agreements. We expect this positive growth trend to remain steady as the housing market improves and the need to replace aging infrastructure and mitigate internal utility resource constraints remain key priorities. As a result, we look forward to increased opportunities related to these trends in both our established and new markets through 2016 and beyond. Shifting to our C&I business, bidding and project activity continues to increase in the majority of our C&I regions. The healthcare markets throughout Colorado and Arizona remain strong, which led to awards for design assist healthcare projects, including the Banner University Hospital Tower in Tucson and expansion of the St. Francis Hospital in Colorado. Large transportation and airport projects are also in the pipeline throughout the Western United States. Due to our vast experience in this area, we’ve secured teaming [ph] agreements with several strong civil contractors, in order to pursue public private partnerships. Our reputation for quality and data center work has allowed us to explore expansion into new geographic territories while the execution of projects in our traditional markets remains consistent. Sizeable aerospace opportunities are also reaching final design and bidding opportunities are forth coming. Meanwhile, as water storage and water treatment concerns continue to increase across the west, opportunities have emerged in many of our operating regions. Due to our successful track record on complex water structures, we placed a high priority on further developing our project management resources to capture work in this market. Finally, the hospitality industry is building momentum in Nevada and Colorado as several new ventures are on the planning horizon. In Seattle we are building a quality base of operations while bidding, winning, and executing new work. We were recently awarded a new project where our C&I and T&D groups will be jointly performing work. In closing, current and planned spending by utilities and transmission developers remain at historic highs in T&D markets. And the action we’ve taken throughout 2015 demonstrate our commitment to ensuring MYR Group is poised to capture and successfully execute every opportunity entrusted to us. Thanks everyone for your time today. I’ll now turn the call back Bill, who will provide us with some closing comments.
Bill Koertner: Thank you for the update Rick. In conclusion, we closed our 2015 with record revenues, increased backlog and maintained a strong balance sheet. We continued our organic growth strategy in our T&D and C&I segments and closed on the acquisitions of E.S. Boulos company and high country line construction. We also further enhanced our share repurchase program and modified our capital allocation strategy, by expanding organically and through acquisitions, refining our capabilities for the improvements of the nation electrical infrastructure and maintaining financial strength and liquidity we are positioning MYR Group for long-term profitable growth providing meaningful careers for our employees and increasing shareholder value. We are excited about 2016 and believe we can effectively meet the challenges of being a low-cost, high-value service provider to our customers. MYR is a people business we are committed to provide our people with the best tools and training and strive to ensure our employees are valued and empowered to grow the business and are motivated to in the advancement of their careers at MYR. These efforts have resulted in stable, long-term employees that enhance our safety performance and serve as a powerful resource to innovate and customize solutions for our clients in an increasingly competitive market. Before I open the call for Q&A, I want to reiterate that today's call is about our results and I ask that you keep your questions and comments focused on that topic. To conclude, on behalf of Betty, Rick, and myself I sincerely thank you for joining us on the call today and for your ongoing confidence in MYR Group. I look forward to updating you on our progress next quarter. Operator, we are now ready to open the call up for comments and questions.
Operator: [Operator Instructions] Our first question comes from the line of Tahira Afzal of KeyBanc. Your line is now open.
Tahira Afzal: Thank you very much. And Bill and Betty congrats on the good quarter given everything.
Bill Koertner: Thank you.
Betty Johnson: Thank you
Tahira Afzal: First question is in regards to what Rick said that look our backlog is up 4% but we spoke to couple of projects since the quarter. So as you look to 2016 are we at a – do you think you’re at a point where you can potentially say that you can do sort of high single-digit revenue growth this year as you look out right now.
Bill Koertner: Tahira as you know we don’t provide revenue guidance. We’re optimistic about 2016 and 2017. There are opportunities in front of us to bid. The market remains extremely competitive that really hasn't changed since we reported last November. So the market remains tight and really still – perhaps oversupply of contractor resources. We definitely need some of these, more of these big projects to be lead. We’re chasing a number of them as well as our competitors are. So Rick do you have anything that you want to add?
Rick Swartz: I don’t have anything to that Bill.
Bill Koertner: Okay.
Tahira Afzal: Rick, you put that in a tight spot to keep himself from saying anything more. So second question is you obviously did pretty decent margins and the fourth quarter was choppy quarter. So Bill how should we and Betty how should we look at your gross margin line, should we look at this fourth quarter as more reflective of what you see or should we look at the entire year as a better idea of what’s going to happen?
Betty Johnson: I think to your, as we’ve kind of talked about in the past that we need to – we don’t give specific guidance on our margins as Bill was commenting just a little bit ago in the past. But overall margins looking at them from a longer-term perspective excluding some of the years of the high volume like in 2013 period with specifically on our C&I business in that market, we’re not seeing much in the way of changes in the margin from a bidding perspective. As we’ve talked about in the past C&I being somewhere in the gross margin level of 6% to 8%, not really changing. And distribution market 8%, 10%, 11% in good time, transmission a little bit higher. Those of course are gross margins bidding we typically do everything we can to control the risks. And our cost, to manage that and improve that as you see the overall margins improving from there but we continue to see a tight bid market as Bill just referred to when we were talking about revenue.
Tahira Afzal: Got it, okay. Betty, that’s actually helpful enough. Just to clarify would that be segment margins that you’re giving the guidance for or gross margins?
Betty Johnson: Gross margins.
Tahira Afzal: Got it and so thank you – sorry.
Bill Koertner: Tahira I have one thing to add to Betty’s comments. Every quarter including this last quarter we always tell our investors and sell-side analysts what was unusual and we quantify that at the gross margin levels. So as you and your analyst team go back and look at MYR historically, every quarter we’re trying to quantify and inform you what we thought was unusually good or unusually bad during the quarter. So you can normalize historical results and I think those long-term historical normalized results are probably the best major you have on margins going forward.
Tahira Afzal: That’s helpful. And thank you for that, and I’ll be back in the queue.
Bill Koertner: All right, thanks
Betty Johnson: Thanks.
Operator: Thank you our next question comes from Adam Thalhimer of BB&T. Your lines are open.
Bill Koertner: Good morning Adam.
Adam Thalhimer: Hey good morning.
Bill Koertner: Good morning Adam.
Adam Thalhimer: The NVP job is that under you’re $15 million threshold for releasing that separately?
Bill Koertner: We don’t have a said amount on what we release on and usually we give as far as releasing separate it’s due to the customer, the requirements they have everything else. So we don’t release that, but we do reflect it in the quarter in which it’s received in our backlog. So those numbers will be added to our backlog going forward.
Adam Thalhimer: Okay. And then trying to understand the DesertLink job, can you just repeat that about that’s not a signed contract that’s something that could get signed this year?
Bill Koertner: LS Power was awarded that project. They’re still working through the final agreements with Cal-ISO and working through that side of it. So we were teaming with them, we’ve been teamed with them since it was in the design stage and we went after that project together. So when they receive their contract we will receive ours. It’s just the timing of that award whether it comes in 2016, or 2017.
Adam Thalhimer: Got it, okay. And then, I mean Bill I feel like we can obviously [ph], I know that you – there’s been some – competitors have been bidding perhaps more aggressively than you traditionally would and we have always been able to trust you in terms of not cutting your bids to just to win work. I mean as you start to book some larger projects here, which is great to see, can we continue to trust that you’ve been discipline on those bids?
Bill Koertner: Definitely intends to remain disciplined on the bidding. My goal is on Investor Relations to be a credible source of information for all of our investors and sell-side analysts and give you a realistic view of what the market is currently and expectations going forward. But we’re constantly refining our bid review process focusing on what risks are inherent in each opportunity and make sure we talk about those, try to mitigate them through contractual language or shift risk back to the owner, or shift risk to subcontractors, or in the case where we retain the risk which is often the case, try to make sure we price that appropriately. So I think the discipline towards our bidding, there's nothing changed that we obviously try to get better at it. But we don't want to go backwards.
Adam Thalhimer: Okay, great. Thank you
Operator: Thank you. And our next question comes from the line of John Rogers from D.A. Davidson. Your line is now open.
John Rogers: Hi, good morning.
Bill Koertner: Good morning John.
Betty Johnson: Good morning.
Rick Swartz: Good morning.
John Rogers: Good morning. I have a couple of things first of all for 2015 or the fourth quarter, can you give us a sense of what the organic growth was for each of the segments ex via [ph] acquisitions?
Bill Koertner: Let me start, Betty can chime in. The one acquisition of high country line was not completed until, I think like late November. So virtually no revenue could be associated with that one. The acquisition of E.S. Boulos closed sometime in April and we obviously don't report revenues from individual subsidiaries. But we did report that it's $70 million, $80 million annual run-rate contractor. So I think you could probably impute from that what kind of revenues might be assigned to an eight-month operating period.
John Rogers: Well, I appreciate that Bill, I mean, with the seasonality, I'm just trying to figure out if the T&D business was growing organically as you closed out 2015.
Bill Koertner: Well, I don't know what more I could add. I think I have given you a hint on how to adjust for E.S. Boulos and I really don't know that I have anything more to add.
Rick Swartz: I think Boulos does do apart both C&I and T&D work. So it is a combination company.
Bill Koertner: Correct.
John Rogers: Right.
Betty Johnson: And so – and it was growing kind of offset by some of those very large projects that – that just – that completed in early 2015 or in late 2014.
John Rogers: Okay. Okay, and then in terms of your comments relative especially to the large transmission projects and the higher margin work, it sounds like a lot of the bidding activity – much of the very large projects are out, are bidding this year 2016 for execution in 2017, 2018 beyond. Am I understanding your comments correctly?
Bill Koertner: They are but there’s other projects that are bidding, the continue to have a rollout if you take the Ameren’s Illinois river project, it was basically a large project that was split into 20 some jobs. And it's been given out to contractors to keep that project moving. So there’s other projects out there that we see starting this year, late in the year. On the large side so Dominion has some work coming up a few other clients. So we do see some large projects that are continuing to come to market or at least we project that will, I just truly wish we had control over the release of them.
John Rogers: Sure, sure, okay. I guess, but in terms of the margins that we’ve seen kind of declining over the past two years are you comfortable yet that we’re at a bottom there? Is ultimately what I'm trying to get to.
Rick Swartz: I will go back to Bill’s comments earlier, I mean we refine our process on our bidding, we try to make sure we understand the cost and the risk going forward and really focus on our cost. At that point we try to put the margin we feel we can capture the job at, that’s a business decision that we can make. But if you don’t understand your cost upfront, the margins are never going to make the difference.
John Rogers: Sure.
Rick Swartz: So whether we’re a percent or higher or lower on our bid margin a lot of that’s associated with the risk we have and we carry forward as Bill says whether it’s us, the owner, whether it’s transferable to sub contractors. So we spend a great amount of time with our team, training and refining that process and trying to make the right business decisions.
Betty Johnson: And if I can just add, you talk about the margins declining in the last couple of years, as I think Bill and Rick have talked about quite a bit in the past. This 2013 and 2014 were the usual exception years from a margin perspective with all the work, that was out there. And thinking about margins overall over the longer period of time, would be a better perspective, more this being a little bit closer to the norm than the 2013 and 2014.
John Rogers: Okay, and Betty that’s what I was trying to get to, I mean you would think we’re – we’ve stabilized here and we’re in line with those norms because, you know the numbers that you mentioned earlier in terms of the goals – I mean it seems that if we’re still at the lower end of those ranges in the least in 2015.
Betty Johnson: Yes that’s close.
John Rogers: And then you’ve also said that, the larger more projects are really being executed out in 2017 which I assume offer the highest margins. But then Billy also commented that the bidding activity is active. So I’m just trying to think about all those different factors.
Betty Johnson: Yes and just to be clear when I was talking about those margins, that qualifier that, that’s what we bid at and we typically do a lot of work to make sure we’re controlling the cost as Rick was referring to and our risk. And you’ll see historically we do and we make improvements upon that as we execute on the jobs, but that’s how it’s bid because the overall margins that you see historically including this past year are higher than those bid margins from execution.
John Rogers: Okay. Thank you for that. And one more, if I could, I guess Betty, in terms of the property and equipment thing you had at year end how much more of that can you put out on lease? And still control what's you need to?
Bill Koertner: I think, maybe I’ll answer that.
John Rogers: Okay.
Bill Koertner: You can lease virtually everything. That’s not the most cost effective approach. So as we're deciding what it is we want to lease and what it is we want to continue to own certainly the things that we think have greater potential for increasing the residual value we'll try to own those or lease that equipment with options to buy it. So we can hang on to that potential, not appreciation because clearly it's going to go down in value as physical utility of the equipment goes down. But some things hold their value a lot better than others. So we're trying to lease the things that make sense. And buy the things that make sense. But theoretically you can lease anything.
John Rogers: Okay. But Bill, if you think about the business and where you are, I mean, is it up maybe got $160 million but equipment business, I mean, could you lease out half that?
Bill Koertner: Well, over time you could. And that would be possible but there would be an impact on your gross margin.
John Rogers: Right.
Bill Koertner: That financing cost inherent in that least giving the tax benefits to the lessors as opposed to keeping them yourself that would have an impact on your margins. So leasing is no panacea.
John Rogers: Sure. But just as the way you think about balancing the business.
Betty Johnson: Yes.
John Rogers: Okay.
Betty Johnson: When we look at our go-forward, expenditures the ability to lease half – when we look at our mix of equipment is doable.
John Rogers: Fair enough.
Bill Koertner: I want to also add, our decision to lease is more of a leveraging decision, capital structure management. We're not in a situation where we can't use tax benefits. We can efficiently use tax benefits. So that might be a motivator for others that engage in leasing but that would not be a big factor for ourselves.
John Rogers: Okay. Thank you very much appreciate the help.
Bill Koertner: Yes, thanks, John.
Operator: Thank you. Our next question comes from the line of Dan Mannes of Avondale Partners. Your line is now open.
Bill Koertner: Good morning, Dan.
Dan Mannes: Thanks. Good morning everyone.
Rick Swartz: Good morning, Dan.
Dan Mannes: Couple quick follow up questions, first congratulations on both MVP, and MVP 16, and Harry Allen and El Dorado. On MVP 1 this is an EPC is this – are you taking any kind of long term warranty exposure here. I know some of the, some of the developers look for that in the EPC bids?
Bill Koertner: It does have some warranty exposure, a lot of that we’ve transferred to our partners on this project, plus we’ve accepted a certain amount but we do have an experience with that with MVP and a track record for what we’ve accepted in the past and this is similar to that, so we understand the cost of that warranty provision.
Dan Mannes: Got it. I just know that it’s been an issue for you guys at some points with certain developers. Switching over to your CapEx plan and utilization, can you I may missed it, if Betty said, what’s the 2016 CapEx plan is, number one, in terms of total dollars. And number two, can you comment on where utilization is right now and if there really is a needed at this point to be increasing your fleet, because I know utilization has been issue the last several quarters.
Betty Johnson: Yes I didn’t talk about the exact level of 2016 outside of the fact that it would probably be down from our historical levels, with the fact that we would use alternative financing for some of our equipment needs. So the needs are still there, assuming the market comes through with the jobs that we’re looking at. And we only purchased some at the point in time that we know we needed with anticipation of the level of equipment needs to be similar. A portion of that would be leased.
Rick Swartz: And Dan you can't just – we can’t just shut off the CapEx spend when it comes to equipment completely we’ve got upgrades, we’ve got to do, we’ve got equipment that wears out, light duty pickups a lot of that stuff. So we got to continue to invest to be able to do the work productively. So there’s a certain amount of that, that comes down to whether you’re calling it replacement or maintenance amount part of your CapEx goes to that.
Dan Mannes: Understood, we would expect you would maintain level. It just seems like you’d been growing your fleet on average the last couple years and I was wondering if there was maybe an opportunity to at least slow the growth given the utilization.
Rick Swartz: We try to balance and I think our goal is to get enough business that we can continue to grow our company, that’s our goal, but we balance the fleet in accordance with the work we have on hand. Bill?
Bill Koertner: Well one thing was, kind of unusual this past year where we spent quite a bit of money on real estate, then we talked about that on the last call, we had a situation, where we had three business units operating in the same region. Some operated under – in own facilities, others operated in rental facilities and we consolidated those operations which overall will result in a lower long-term cost and give us a more productive facility to work on them. I don't anticipate that we'll have anything of that magnitude on the real estate front going forward. Price still have to do some upgrades and improvements to some of our facilities but at least right now we're not aware of any new buildings that would be comparable to what we did last year. And on fleet side, our fleet utilization had declined. But it appears to kind of stabilize now. We like to see that fleet utilization go back to the 2013 levels. And we get a bunch of big projects that's very possible, that will happen. But it does appear that that utilization of the fleet has stabilized.
Dan Mannes: Got it. Few more quick questions, if you'll indulge me. First, as it relates to the buyback, I mean, the size of buyback programs is growing dramatically. I think you did to a $27 million roughly during 2015. But you have over three times that amount of authority. Given your flow in the trading liquidity how do you realistically execute it? Given the size of the program or is this something we just have to assume is going to take a long time to workout?
Bill Koertner: We certainly have guidelines from our financial advisor. We spent a lot of time talking about the size of the program, you can engage in open market purchases. And there are certain parameters or limits that are provided by the SEC, but we could significantly ramp it up over the historic phase we've been on for the last couple of quarters. So I think you could look at the last couple of quarters at the pace and assume that would increase and you could extrapolate how long it would take to use the added authorization. But I would say is a long time, is something that should be done within a year.
Dan Mannes: Okay, got it. And the final question is on the competitive environment. Obviously some of the key players are – have been around or continue to be around. Well we've seen particularly some of the foreign players who have been aggressive in the market backing off. Have you seen the impact of maybe their departure on more recent bids is that's something that maybe makes you a little bit more enthusiastic about the margin environment?
Rick Swartz: Yes I haven’t seen them completely depart I've seen maybe a pullback from a couple of them. I see them remain right now. I guess time will tell on whether they removed themselves completely and what their overall financial position ends up being.
Dan Mannes: So at this point, it hasn’t really helped you out yet?
Rick Swartz: I haven’t seen them pull out, I mean, I’ll go back to – I haven’t seen them completely remove themselves, I’ve seen them not beyond some business. But I haven’t seen them completely pull out like I said I think their financial position and where they’re at today and going forward we’ll stay whether they stay here or not.
Dan Mannes: Okay. Thank you very much.
Operator: Thank you. Your next question comes from [indiscernible] of FBR Capital Market. Your line is now open
Unidentified Analyst: Great, good morning.
Betty Johnson: Good morning.
Betty Johnson: Good morning.
Unidentified Analyst: Just a couple of questions here, the six new offices that you started up in 2015, where they all tied to the T&D business?
Bill Koertner: No, they were a mixture.
Unidentified Analyst: Okay. A mixture.
Bill Koertner: Yes.
Unidentified Analyst: Okay. And are any of the offices housing both services? Or they’re separate?
Bill Koertner: Yes, a couple of them are housing both services.
Unidentified Analyst: Okay. Do you have any expectations for more in 2016 as of right now?
Bill Koertner: We’re continually looking, I look at every market out there, our people continually bring us business plans and where we can expand, where our clients want to go. There’s nothing I’d like more to be able to combine both of our operations into one facility if there’s a growth prospect that will take our C&I and T&D capabilities into that, I like that because you’re cutting down on your SG&A, you’re sharing expenses, you’re doing a lot of stuff to help grow the business. Sometimes the clients don’t quite work out that way, but once we’re in an office. We definitely try to pursue both opportunities. So the company – our marketing group gets that. And our management group gets those customers on both sides because of our capabilities.
Rick Swartz: I guess, I would add rest assured we put together business cases, before we open up an office. we’re not in a competition to see how many offices we could open. Solid business cases with business plans, with people and when Rick is operating people float ideas to try to sell those things, it’s Rick’s job and my job and Betty’s job to scrutinize how realistic are those plans. And we’re willing to invest some money in the way of start up costs because they’re probably not going to be profitable from the beginning. But we are trying to be a very disciplined user of shareholder capital, and open offices where it makes good long-term sense.
Unidentified Analyst: Okay. That makes sense. Betty, when you talked about gross margins especially in the fourth quarter, you talked about labor constraints and some excessive labor turnover. Is that, more projects specific or is there something else that you’re kind of seeing on the labor side?
Betty Johnson: And that was just very specific projects. So that we experience not holistic, it was select job.
Unidentified Analyst: Okay. And then just final question, in terms of weather so far in the first quarter for the markets that you’re currently in. Do you see a big difference between, so far this quarter versus what we saw last year?
Bill Koertner: The weather is something that, I mean, some of these areas that are warmer than anticipated right now, frost is coming out of the ground quicker than we anticipated. So we see some impact on that side. Other areas we’re seeing better work. So, I mean, better work environment. So we see an improvement, it’s a balancing act when it comes to weather.
Unidentified Analyst: Okay. But nothing stands out, not too different.
Bill Koertner: Not to different right now.
Unidentified Analyst: Okay. Actually – okay, and then one more question, in terms of acquisitions obviously you’ll continue to pursue acquisitions but just based on the book and kind of based on what you’re seeing now, do you expect anything for 2016?
Bill Koertner: We’re definitely looking at some transactions.
Unidentified Analyst: Okay.
Bill Koertner: Nothing I would say is eminent. But we’re constantly looking at opportunities and some of those opportunities are because some contractors are maybe little distressed. So there are opportunities that are may be different than the ones that would have been available two years ago. So we’re constantly looking and again trying to beat the sequent with how we approach them.
Unidentified Analyst: Okay, great. Thank you very much. Good luck.
Betty Johnson: Thank you.
Operator: Thank you. Our next question comes from the line of William Bremer from Maxim Group. Your line is now open.
William Bremer: Good morning, Bill, Betty, and Rick.
Bill Koertner: Good morning.
Rick Swartz: Good morning.
Betty Johnson: Good morning.
William Bremer: Rick I appreciate the commentary on order and order treatment opportunities. We are definitely hearing it throughout the field. Can you just enlighten us, give us a little bit more about your capabilities there and actually what you are seeing and what type of jobs you’re looking at right now?
Rick Swartz: I would say, primarily in three areas Colorado, Arizona, and then when you go to Washington State, we’re seeing quite a bit of opportunities there, it continues to be aging infrastructure. Our capabilities on that side as we do all of the C&I work associated with it. We also do communication work inside that low voltage work. So while we do a lot of that work internal, we’ve been doing it for years, in both the Colorado and Arizona market. We’ve found outside of those to follow certain contractors. And we see those same opportunities because of aging infrastructure and other areas. And we’ll continue to follow that.
William Bremer: Is there going to be a need to maybe position some additional CapEx for that end market or is that not necessary?
Philip Kranz: Not too much CapEx on that side, our C&I side, I mean, it’s relatively limited compared to our T&D side as far as CapEx investment. Now if we do have to get facility do stuff that way, there could be some CapEx spend, if we have the right opportunities Bill said to go into in a new area. So those are heavily bided out through our process between Bill, Betty and myself, to make sure that opportunities are long-term.
William Bremer: Okay, great and Betty for you, [indiscernible] (0:42) questions. One being on overall corporate expenses for 2016 are we to assume that you maintain these levels? And secondly, the overall tax rates go forward given the mix support you seen in terms of projects for bookings
Betty Johnson: Yes, it’s fair. From an expense perspective, just like Bill talked about us, normalizing our margins in SG&A can see some of the things that are the unusual items. And you’ve taken those items out and just overall when it comes to as a percent expenses continuing had a fairly normal pace growing with the growth of the company. And as far as, what is the second piece of your question?
William Bremer: Tax rate?
Betty Johnson: Yes, the tax rate. I can’t tell you exactly look at more on an annual basis and from the 2015 annual rate versus the fourth quarter. Is that little bit more of normal and of course that’s always impacted by our mix that I can project the exact mix of the states that will be in, in this coming year
William Bremer: So you’re saying to utilize sort of a blended rate between the fourth quarter and end of 2015 where you guys ended up on a fiscal year.
Betty Johnson: More of the full 2015, 2015 blended rate versus the fourth quarter and 2015, just looking at the full year picture.
William Bremer: Okay, Betty, thank you.
Betty Johnson: Yes, again it depends on, where our mixes year-by-year.
William Bremer: Sure. I understand.
Operator: Thank you. And our next question comes from the line of Tahira Afzal of KeyBanc. Your line is now open.
Tahira Afzal: Hi, folks just a one last question, how should we think about your G&A run rate given you still expanding into some offices?
Rick Swartz: I would put at probably similar to our 2015 run rate, I mean, everything if we see an opportunity we’ll continue to expand or seek those opportunities, but with that as those said, we go into there – we go into new areas with the market with a business plan. We try to execute on that if there’s a delay in projects it could increase our SG&A for a period of time, but we believe there’s a solid business foundation and or we would have done little markets in the first place. So right now I would say it would be similar run rate to 2015 and we’ll monitor it closely.
Tahira Afzal: Great
Rick Swartz: Tahira, some thing add, we have pulled out of some markets to where the work has dried up. And we are not hesitant to close offices if they're not justified. So not only are we looking to expand in locations for we think there are opportunities. We’re always trying to shrank our occupancy expense to what we can support with our business. So if we finish up the large shop or the clients has a big cut back in its capital budget. We don’t stick around unless we feel it’s going to pick back up in the near future. So we’re constantly looking at our offices to rightsize it for the business we have.
Betty Johnson: And just thought to figure out that we was mentioning previously, just kind of look at the SG&A and some of the commentary to normalize, so that you could some of the one-time cost – and half that. You’ll see that 2014 and 2015 our SG&A as a percentage is fairly consistent for the full year.
Tahira Afzal: Got it. That’s what I wanted to clarify when Rick said we’re seeing run rate, I assume it means as a percentage of revenue?
Betty Johnson: As a percentage of revenue, correct. Not on dollars but as a percentage of revenues as we grow the business, seeing the overhead will come with that. And sometimes we have ability to leverage that more. But for the most part it is fairly consistent as a percentage of revenue.
Tahira Afzal: All right. Thank you, folks.
Operator: Thank you. And our next question comes from line of John Rogers from DA Davidson. Your line is now open.
John Rogers: Hi, just one follow-up. Bill, up in Canada the slowdown in the economy especially Western Canada, the market opportunity up there has changed for you?
Bill Koertner: Had a lot of changes in the last two years but…
John Rogers: Yes.
Bill Koertner: We still see opportunities there. But they’re probably nowheres near as great as what people were projecting two years ago.
John Rogers: Okay. And then the other thoughts you might offer on this regionally? Are you seeing – you made a couple of comments along the way but, I’m thinking more especially out over the next two years in terms of the expected build on the transmission side.
Bill Koertner: Certainly in their still, I think an ongoing ripple effect of what’s happened to oil and natural gas prices. So the areas of the country like Texas and Oklahoma, I don’t know that we have fully seen, the ripple effect of that. But some markets are more robust than what they were a couple of years ago. So we operate in a lot of individual regional markets and we’re trying to allocate capital and people accordingly.
John Rogers: Okay, thank you.
Operator: Thank you. And I’m showing no further questions at this time I would now like to turn the conference call back over MYR Group for any closing remarks.
Bill Koertner: We I’d like to thank everyone for participating in our call. We greatly value, your input. So if you have thoughts about the company or the markets we always enjoy hearing what you have to say. I’d like to thank our management team and employees for the hard work to produce a billion dollars of revenue is quite an accomplishment. I'm very proud of that, I’m also very proud of the safety record that our groups have achieved this year which is very important to winning and retaining business, so pleased with that. So with that I’ll close the call and look forward to talking to everybody next quarter.